Operator: Greetings, and welcome to the KLX Energy Services First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. I would now like to turn this conference over to your host, Mr. Ken Dennard, Investor Relations. Thank you, Mr. Dennard. You may begin.
Ken Dennard: Thank you Operator, and good morning everyone. We appreciate you joining us for KLX Energy Services conference call and webcast to review first quarter 2022 results. With me today is Chris Baker, KLX Energy's President and Chief Executive Officer, and Keefer Lehner, Executive Vice President and Chief Financial Officer. Following my remarks, management will provide a high-level commentary on the financial details of the first quarter and the outlook before turning the call over to questions. There will be a replay of today's call that will be available by webcast on the company's website at klxenergy.com. There will also be a telephonic recorded replay available until May 27, 2022. More information on how to access these replay features were included in the yesterday's earnings release. Please note that information reported on this call speaks only as of today, May 13th, 2022, and therefore, you're advised that time-sensitive information may no longer be accurate as of the time of any replay listening, or transcript reading. Also comments made on this call may contain forward-looking statements within the meaning of the United States Federal Securities Laws. These forward-looking statements reflect the current views of KLX management. However, various risks, uncertainties, and contingencies could cause actual results, performance, or achievements to differ materially from those expressed in the statements made by management. The listener or reader is encouraged to read the annual report on Form 10-K, quarterly reports on Form 10-Q, and current reports on Form 8-K to understand certain of those risks, uncertainties, and contingencies. The comments today may also include certain non - GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures are included in the press release, which can be found on the KLX Energy website. And now, I'd like to turn the call over to KLX Energy Services President and CEO, Mr. Chris Baker. Chris.
Chris Baker: Thank you, Ken. And good morning, everyone. Thank you for joining us today for KLX Energy Services’ first quarter 2022 conference call. The broader market backdrop continued to improve throughout Q1. U.S. rig count was up approximately 34% during the quarter. Frac spread count was up approximately 7% sequentially. Crude prices averaged over $95 per barrel, and natural gas averaged $4.67 per MMBTU. The fundamental backdrop is as positive as we have seen in years. The one caveat continues to be a somewhat muted response by our customer base as they continue to focus on capital discipline and returning capital to their shareholders. Looking at our financial results for this past quarter, I am pleased to report that our revenues were up 5% sequentially to approximately $152 million, which was in line with our prior guidance. It was a slow start to the year. However, monthly results improved throughout the quarter as both activity and pricing improved, and we exited the quarter on a high note in March. Utilization has improved across the board. We are effectively sold out in several service lines, including tubulars, many common sizes of BLPs, accommodations units, and the two frac spreads we are running are now experiencing very high utilization. As for the other core service offerings, Q1 utilization for our coiled tubing, directional drilling, and wire line fleet was 30%, 32%, and 23% respectively, providing us with additional asset capacity across these service lines to deploy into the market as it becomes warranted from a pricing and returns perspective. Jumping to the pricing side of the equation, the pace of pricing improvements for our service portfolio is accelerating, and we experienced materially improved pricing as we exited Q1 and into early Q2 in the range of high-single to low double-digit sequential percentage increases depending on the service line. For example, coiled tubing pricing was up 12% in Q1. Looking forward, pricing is again being reset higher in Q2 across the majority of our product service lines. Q1 adjusted EBITDA of $4.9 million was positive for the fourth consecutive quarter. Q1 adjusted EBITDA was negatively impacted by seasonally slower activity at the start of the year, COVID quarantine impact, weather-related issues in early February, cost pressures associated with the preparation for the expected March revenue inflection, and general inflationary pressures impacting labor, raw materials, and finished goods. As we look at our Q1 exit rate, we exited the quarter on a high note, generating March revenue of approximately $58 million, setting a new monthly high since the closing of the QES merger in Q2 2020, a record that will not stand alone as we continue to work through the second quarter. With that said, March annualized revenue and adjusted EBITDA was just over $692 million and $46.5 million respectively and sets a new normal baseline as we work through Q2 and expect activity, pricing, and margin to continue to improve. Looking towards the second quarter, we exited Q1 on a strong run rate, giving us considerable optimism for how the second quarter and the remainder of 2022 will shape up. We believe that the current market backdrop positions the OFS industry to approach the customer conversations from a position of strength for the first time in years. And we believe, KLX is particularly well positioned given our diverse product and service offerings, broad geographic coverage, differentiated technology, and blue chip customer base. We have the people and the quality asset base required to service our customers and expect our assets and personnel to be in even higher demand due to supply chain challenges facing the industry. With that, I'll now turn the call over to Keefer, who will review our Q1 financial results, and I will return later in the call to discuss our outlook in greater detail. Keefer.
Keefer Lehner: Thank you, Chris. One macro comment before jumping in. Please note that as of December 31, 2021, the Company changed its fiscal year end to align with the calendar year with the result being that our Q4 2021 has two months instead of three. Due to this truncated prior period, I will focus the comparisons of Q1 2022 results with the pro forma three-month fourth quarter ended December 31, 2021. I'll begin by discussing our first quarter 2022 consolidated P&L. For the first quarter ended March 31, 2022, revenues were $152.3 million, an increase of $7.3 million, or 5%, as compared to revenue for the pro forma fourth quarter. Revenue growth was driven by broad increases in our drilling, completion, production, and intervention activity across the majority of our core geographic markets. On a product line basis, drilling, completion, production, and intervention products and services contributed approximately 28%, 50%, 12%, and 10% to revenue respectively for the first quarter of 2022. Adjusted operating loss for the first quarter was $9.5 million. Adjusted EBITDA and adjusted EBITDA margin was $4.9 million and 3.2% respectively. Adjusted EBITDA decreased by roughly $1.8 million compared to pro forma fourth quarter. As Chris mentioned, and we discussed on our prior call, Q1 was negatively impacted by a very slow start in January, weather in seasonality, COVID quarantines, general inflationary cost pressures, and stand up costs as we prepared for the March activity and price inflection. Further, we recognized additional personnel costs in Q1 relative to pro forma Q4 related to the annual reset and payroll taxes and our 401k match, which was reinstated in December, 2021 and only burdened one payroll period and our pro forma fourth quarter. These two items accounted for approximately two-thirds of the sequential decline and adjusted EBITDA when compared to pro forma Q4. Total SG&A expense for Q1, was approximately $15 million, which equates to roughly 9.8% of Q1 revenue. Post the QES merger integration, KLX now has one of the most efficient fixed cost structures in the OFS industry, and we believe we can further scale from current levels with minimal fixed cost G&A edition. Turning to a review of our segment results. Let me begin with the Rockies. The Rocky segment, first quarter revenue of $43.3 million increased by $8 million or 23% as compared with pro forma in fourth quarter. The sequential increase in revenue was primarily driven by an increase across service lines in the DJ and Central Rockies, most prominently in coiled tubing, fishing, rentals, wireline, and dissolvable plugs, which more than offset a seasonally slow start to the year in the North Dakota market. Adjusted operating loss for the fiscal first quarter was $700,000 as compared with adjusted operating loss of $3.6 million for the pro forma fourth quarter. Adjusted EBITDA was $4.7 million as compared to pro forma fourth quarter adjusted EBITDA of $2.3 million. The increase in adjusted EBITDA and adjusted EBITDA margin was driven by higher pricing and utilization in the DJ Basin, resulting in approximately 30% incremental margins for the segment. Moving onto our Southwest segment. The segment generated first quarter revenue of $51.9 million and was largely in line with pro forma fourth quarter results, experiencing an increase of only $1.7 million or 3% as compared to the pro forma fourth quarter. The sequential improvement in revenue was primarily driven by increases in directional drilling, frac rentals, and fishing. First quarter adjusted operating loss for the segment was $300,000 compared to pro forma fourth quarter adjusted operating loss of $700,000. First quarter adjusted operating loss for the segment was $300,000 compared to pro-forma fourth quarter adjusted operating loss of $700,000. First quarter adjusted EBITDA was $4.2 million, which was in line with pro-forma fourth quarter. Now, to wrap up the segment discussion with the Northeast and the Mid-Con. First quarter revenue was down $2.4 million sequentially to $57.1 million. The decrease in revenue was primarily driven by sequential decline and directional drilling and dissolvable frac sales in the region. Adjusted operating loss for the first quarter of $700,000 as compared with adjusted operating income of $2.7 million in the pro forma fourth quarter. Adjusted EBITDA was $2.7 million in the first quarter as compared to pro forma fourth quarter adjusted EBITDA of $6.2 million. The decline in activity and revenue led to a corresponding decrease in adjusted EBITDA and adjusted EBITDA margin for the segment from Q4 to Q1, but we expect segment margin to rebound as we progress through Q2, given a strong backlog. I'll now turn to our balance sheet and cash flow. Our Q1 cash balance decreased by $8.6 million to $19.4 million when compared to Q4. The decrease in cash was largely driven by an investment in working capital and capital spending, both of which I'll get into a bit later on the call. Debt outstanding as of Q1 remained constant with the fourth quarter, with $250 million in 2025 maturity Senior Secured Notes, and $30 million drawn on our $100 million ABL facility that matures in the fall of 2023. Given our ABL facility matures in the fall of 2023, we're beginning to have discussions with lenders around various refinance options, including amendment extend. We continue to proactively manage working capital, and convert the balance sheet into cash as quickly as possible. Net working capital was $45.9 million in Q1, compared to Q4 net working capital of $40.5 million. The increase in net working capital was driven largely by a reduction in DPO as we worked to mitigate supply chain risks. This was offset by a sequential reduction in DSO from 66 days to 63 days as of Q1. Capital expenditures for the first quarter was approximately $5.8 million and were primarily focused on maintenance spending. Going forward, we continue to expect total capex for 2022 to be in the range of $25 million to $30 million, and to be approximately 80% focused on maintenance spending. Supply chain issues have slowed deliveries of CapEx items so far in the first quarter, but we expect this trend to improve as we navigate through the remainder of 2022. As of March 31st, we continue to have $1.9 million of assets held for sale in our current asset account. We're working through options to monetize the bulk of those assets to obsolete facilities in the near term. In addition, in early Q2, we have identified an incremental $4 million to $6 million of assets for sale driven by our continued efforts to further streamline our real property footprint and monetize obsolete assets, but we do not yet know the timing of monetizing those assets. Total liquidity as of March 31st was $67 million and our available liquidity was $54.6 million, which was comprised of $19.4 million in cash and $35.2 million in borrowing availability on the March 31st borrowing-based certificate, net of $12.4 million fixed charge coverage ratio holds back. Our April 30th, cash balance was $38.8 million, and available liquidity was $57.7 million, including availability on our April 30th borrowing-based certificate. Note, we subsequently made our May 1st, interest payment of $14.4 million. As we've emphasized in the past on prior calls, the continued management and preservation of our liquidity as we support the continued rebound in the business remains a top priority. As Chris mentioned, we exited Q1 generating March revenue and adjusted EBITDA of approximately $58 million and $3.8 million respectively. If you annualize these results, it implies a revenue run rate of approximately $692 million and an adjusted EBITDA run rate of $45.6 million. We expect strong incremental performance coming off our March results, and expect to see strong incremental margins from Q1 to Q2 given the current trajectory of the business. I will now turn the call back to Chris, who will provide some additional color on our outlook.
Chris Baker: Thanks, Keefer. I will close the call by discussing our forward outlook. Looking at the second quarter of 2022, in the full year, we believe a constructive macro backdrop will persist. As you know, I have spoken in the past about how rising commodity prices have disproportionately benefited EMP companies in the early stages of the market upcycles. This has largely come at the expense of oilfield services companies as the fragmented nature of the industry and surplus of available equipment kept pricing power at bay. However, we are now at a point where the available supply is equivalent and available labor force cannot keep up with demand, and as a result, we are able to attain greater levels of pricing power that were possible in the recent past. As pricing returns, we're hopeful that margins for the services space will return to more historic normalized levels in the near-term; late 2022 and into 2023. Ultimately, the OFS industry has to generate sufficient returns towards the investment required to maintain safe technologically-advanced assets in order to continue to drive efficiencies for our customers. In summary, while 2022 got off to a bit of a slow start, we have quickly settled in to a much more active market, and are very bullish about our prospects for Q2 and the remainder of 2022. For the Second Quarter, we expect to see revenue increase again with a sequential uptick in the range of 16% to 20% driven by further improved utilization across the service lines with additional assets to be deployed into the market coupled with pricing gains in service lines, where the market is the tightest. We expect adjusted EBITDA margin to be in the range of 7% to 9%. Going forward we expect strong growth in pricing and continued improvement in utilization to compress whitespace, to drive sequential improvement in both revenue and adjusted EBITDA as we progress through the remainder of Q2 in 2022. As I mentioned earlier, we exited the quarter on a $692 million revenue run rate, which is above our previously stated guidance for 2022 and expect to see further improvement as the year progresses. Our updated revenue guidance for full-year 2022 is $690 million to $710 million and believe there's still some conservatism built into this estimate, depending on fourth-quarter seasonality and potential budget exhaustion. In closing, let me thank our employees, customers, vendors and shareholders for their support. We are encouraged by the macro backdrop and believe KLXE is uniquely positioned to deliver superior operational performance and generate improved returns in 2022 and beyond. With that, we will now take your questions. Operator.
Operator:
Chris Baker: Thank you once again for joining us on today's call and your interest in KLX Energy Services. We look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may now disconnect your lines at this time, and have a wonderful day.